Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company Conference Call discussing the company's Fourth Quarter and Full Year 2020 Results. The call is being recorded. If you would like to listen to a replay of this call, it will begin this afternoon at approximately 5:00 p.m. Eastern Time and run through Tuesday, March 2, 2021 on the company's website www.aswater.com. The slides that the company will be referring to are also available on the website. After today’s presentation, there will be an opportunity to ask question. [Operator Instructions] This call will be limited to one hour. Presenting today from American States Water Company is Bob Sprowls, President and Chief Executive Officer; and Eva Tang Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. Please review a description of the company’s risks and uncertainties in our most recent 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include discussion of certain measures that are not prepared in accordance with generally accepted accounting principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information but are not presented in our financial statements that are prepared in accordance with GAAP. For more details please refer to the press release. At this time, I will now turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company. Please go ahead.
Bob Sprowls: Welcome everyone, and thank you for joining us today. I'll begin with some brief comments on the quarter, and some highlights for the year; Eva will then discuss some financial details; and then I'll wrap it up with some updates on regulatory filings, American States Utility Services or ASUS, and dividends. And then, we'll take your questions. I would like to start by commenting on our fourth quarter performance. We had a strong quarter with consolidated earnings of $0.54 per share versus $0.45 per share earned during the fourth quarter of 2019, a 20% increase. You can see from this slide that each of our three operating segments contributed to the substantially improved performance. Eva will discuss this slide in more detail in a few minutes. Now, let's turn our attention to highlights for the full year, where we also had strong financial results in addition to providing essential uninterrupted services to our customers. For the year, we reported diluted earnings per share of $2.33, as compared to $2.28 reported for 2019, or $2.24 per share after excluding the $0.04 per share retroactive impact of the electric general rate case decision from 2019 related to the full year of 2018. In 2020, American States Water achieved a consolidated return on equity of 13.9%. During the year, we also filed a new Golden State Water Company general rate case for the years 2022 through 2024, continued our capital improvement work at our regulated utilities, continued to improve water and wastewater systems on the military bases we serve, raised the dividend by nearly 10% and reached 66 consecutive years of annual dividend increases. This was a unique and challenging year as a result of the COVID-19 pandemic. First and foremost, we are proud that we were able to maintain essential safe and reliable services for our regulated customers and military service personnel across the country. In order to do this, starting in March of last year, we made adjustments for our field workers to keep them safe and instructed our office staff to telecommute. At the local level, we worked closely to manage changes and delays in construction schedules, balancing the needs of keeping the water, wastewater and electric systems running well with the uncertainty and needed flexibility that the pandemic has brought to communities. In addition, the California Public Utilities Commission, or CPUC, has issued orders on service shutoffs due to non-payment helping those households who are unable to keep up with water or electric bills during this unprecedented time. Recently, the CPUC extended the suspension of service shutoffs due to non-payment through June 30 of this year. We continue to invest in the reliability of our systems spending $123.4 million in company-funded infrastructure at our regulated utilities during the year. At ASUS, we continue to perform necessary construction work on the military bases we serve and are well positioned to win more contracts in the coming years. We remain committed to our communities. Golden State Water continued to spend with diverse business enterprises, achieving results that were well above the CPUC's requirements for the eighth consecutive year. In addition, ASUS continued to exceed the US government's requirements to hire small businesses to perform work on the bases it serves. In addition to these fiscal 2020 highlights, we have received positive news at our water segment to start 2021 related to the continued use of the water revenue adjustment mechanism or WRAM as well as third year rate increases, both of which I'll discuss later on during the call. We, at American States Water Company, continue our steadfast commitment to our customers, broader communities, military personnel, shareholders, employees and suppliers. Our financial results are just one part of our efforts and success. I will now turn the call over to Eva to review the financial results for the quarter.
Eva Tang: Thank you, Bob, and hello, everyone. Let me start with an overview of our fourth quarter financial results on slide 9. As Bob mentioned, consolidated diluted earnings for the quarter were $0.54 per share compared to $0.45 per share, again a 20% increase over the same period last year. Earnings at our water segment increased $0.04 per share for the quarter. The increase in the water segment's earnings, were largely due to a higher water gross margin from new water rates. In addition, a decrease in interest expense and an increase in gains, earned on investments held to fund a retirement plan were partially offset by the impact of a higher effective income tax rate. Overall, operating expenses other than supply costs were relatively flat for the water segment. Earnings from the electric segment for the fourth quarter of 2020 were $0.07 per share as compared to $0.05 per share recorded for the same period in 2019. The increase was due to rate increases authorized by the CPUC as well as lower overall operating and interest expenses. Earnings from the contracted services segment were $0.17 per share as compared to $0.12 per share for the fourth quarter of 2019. This was largely due to an increase in construction activity as well as an overall decrease in operating expenses. Consolidated revenue for the three months ended December 31, 2020, increased by approximately $11.2 million as compared to the same period in 2019. The decrease was due to rate increases at both of our water and electric utilities and an increase in construction work at our contracted services business. Turning to slide 11. Our water and electric supply costs were $24.1 million for the quarter, an increase of $900,000 from the same period last year. Any changes in supply cost for both the water and electric segments as compared to the adopted supply costs are tracked in balancing account. Looking at total operating expenses, excluding supply costs, consolidated expenses increased approximately $5.8 million versus the fourth quarter of 2019, mostly due to an increase in construction costs at ASUS as a result of a higher construction activity and the property and other taxes, partially offset by lower maintenance expenses resulting from timing differences and a decrease in outside service costs. Other income and expense for the fourth quarter of 2020 was a net expense of $2.1 million, which was $1.8 million lower in the same period of last year, due to lower interest rate as well as the increase in gains generated on investments held in a trust to fund the retirement benefit plan. Slide 12 shows the EPS bridge comparing the fourth quarter of 2020 with the same quarter of 2019. This slide shows the full year results. Consolidated earnings for 2020 were $2.33 per share as compared to $2.28 per share for 2019. The 2019 CPUC final decision on the electric general rate case was retroactive to January 2018. And as a result, the cumulative retroactive earnings impact related to 2018 of $0.04 per share was recorded as part of the 2019's results. Excluding this retroactive impact consolidated earnings for 2020 increased $0.09 per share as compared to $2.24 per share for 2019 as suggested. Earnings from the water segment increased by $0.05 per share as compared to 2019, mostly due to new water rates as a result of the full second year step increase effective January 1, 2020 which added $10.4 million in water gross margins for 2020. The increase in earnings from the higher gross margin was partially offset by an increase in operating expenses and a higher effective income tax rate due to changes in flow-through adjustments. Moving on to the electric segment. Earnings were $0.05 per share higher than in 2019 after excluding the retroactive impact for 2018 from the 2019 CPUC final decision. The higher electric earnings were due to new rates authorized in the final decision as well as lower interest expense and a lower effective income tax rate due to changes in certain flow-through taxes as compared to the year before. These increases to earnings were partially offset by an overall increase in operating expenses. For both 2020 and 2019, diluted earnings from contracted services were $0.47 per share, excluding a retroactive price adjustment of $0.01 per share recorded in 2019 related to periods prior to 2019. Earnings from the contracted services segment for 2020 increased by $0.01 per share, largely due to an increase in management fees and construction revenue. There's also overall lower operating expenses partially offset by higher construction costs. AWR parent earnings decreased $0.01 per share compared to 2019 due to higher state unitary taxes recorded at the parent level. Turning to liquidity. Net cash provided by operating activities were $122.2 million as compared to $116.9 million in 2019. The increase was primarily due to the refunding of $7.2 million to customers in 2019 related to the Tax Cuts and Jobs Act with no similar refund in 2020 and an increase in water customer usage. These increases were partially offset by decreases in cash flows from accounts receivable from utility customers, due to the economic impact of the COVID-19 pandemic and the CPUC mandated suspension of service disconnection, and from the timing of billings of and cash receipts for construction work at military bases. As Bob mentioned, our regulated utility invested $123.4 million in company-funded capital projects in 2020. We expect to invest $120 million to $135 million in 2021. At this time, we do not expect American States Water to issue additional equity. And with that let me turn the call back to Bob. 
Bob Sprowls: Thank you, Eva. I'd like to provide an update on our recent regulatory activity. As you may know, the water segment has an earnings test it must meet before implementing the second and third year step increases in the third year rate cycle. I'm pleased to report that we have timely invested our capital projects and achieved capital spending consistent with the amount authorized by the CPUC. As a result, substantially all of the third year step increases have been authorized and effective January 1, 2021. These new rates are expected to generate an additional $11.1 million of water gross margin. We continue to make prudent and timely capital investments. In July 2020, Golden State Water filed a general rate case application for all of its water [Audio Gap] for new water rates for the years 2022, 2023 and 2024. Golden State Water requested capital budgets in this application of approximately $450.6 million for the three-year rate cycle and another $11.4 million of capital projects to be filed for revenue recovery through advice letters when those projects are completed. A decision in the water general rate case is scheduled for the fourth quarter of 2021 with new rates to become effective January 1, 2022. In a procedural hearing held earlier this month on this pending general rate case, the assigned administrative law judge confirmed that Golden State Water is authorized to continue using the Water Revenue Adjustment Mechanism or WRAM and the modified cost balancing account also known as the MCBA until its next general rate case application covering the years 2025 through 2027. If you recall, the CPUC issued a final decision in the first phase of its Order Instituting Rulemaking evaluating the low-income rate payer assistance and affordability objectives contained in the PUC's 2010 Water Action Plan. This final decision among other things removes the continued use of the WRAM and MCBA by California water utilities in any general rate case application filed after the August 27, 2020 effective date of this decision. Golden State Water's pending water rate case application was filed in July 2020 prior to this effective date. As a result of this procedural hearing, we will continue using the WRAM and MCBA mechanisms through the year 2024. In January 2021, Golden State Water along with the three other large California water utilities requested a one-year deferral of the date by which each of them must file their next cost of capital applications. Just yesterday afternoon, the CPUC rejected the request for deferral. Golden State Water will file its cost of capital application by May 1 of this year with an effective date of January 1, 2022. Turning our attention to slide 17. This slide presents the growth in Golden State Water's rate base as authorized by the CPUC for 2018 through 2021. The weighted average water rate base has grown from $752.2 million in 2018 to $980.4 million in 2021, a compound annual growth rate of 9.2%. The rate base amounts for 2021 do not include any rate recovery for advice letter projects. Let's move on to ASUS on Slide 18. After adjusting the 2019 financial results for the $0.01 per share retroactive earnings impact related to periods prior to 2019 that Eva discussed earlier, ASUS' earnings contribution for 2020 increased by $0.01 per share as compared to 2019. This was accomplished despite weather delays and slowdowns in permitting for construction projects and government funding for new capital projects experienced throughout 2020. We continue to work closely with the US government for contract modifications relating to potential capital upgrade work for improvement of the water and wastewater infrastructure at the military bases we serve. During 2020, the US government awarded ASUS $15.5 million in new construction projects for completion in 2020 and 2021. Completion of filings for economic price adjustments, request for equitable adjustment, asset transfers and contract modifications awarded for new projects provide ASUS with additional revenues and dollar margin. We are actively involved in various stages of the proposal process at a number of other bases considering privatization. The US government is expected to release additional bases for bidding over the next several years. Due to our strong relationship with the US government as well as our expertise and experience in managing bases we are well positioned to compete for these new contracts. In light of our continued uncertainty associated with the effects of COVID-19, we reaffirm our projection that ASUS will contribute $0.45 to $0.49 per share for 2021. I would like to turn our attention to dividends outlined on Slide 19. In 2020, we increased the annual dividend by 9.8% to $1.34 per share. American States Water Company has paid dividends to shareholders every year since 1931, increasing the dividends received by shareholders each calendar year for 66 consecutive years, which places it in an exclusive group of companies on the New York Stock Exchange that have achieved that result. On February 2, our Board of Directors approved a quarterly dividend of $0.335 per share. As a reminder, our dividend policy is to achieve a compound annual growth rate in the dividend of more than 7% over the long-term. Our strength and attractiveness to customers and shareholders alike is our ability to execute on our business strategies, stability, continued timely investment in our systems and customer service, our regulated operations and a constructive regulatory environment in California, a growing contracted service business with strong market share, and an unwavering commitment to reliability and safety. Our capital investment includes replacing and upgrading critical infrastructure as well as ensuring we can meet our customers' needs for generations to come all while driving operational efficiency and delivering outstanding customer service. I'd like to conclude our prepared remarks by thanking you for your interest in American States Water. And we'll now turn the call over to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Angie Storozynski of Seaport Global. Please go ahead.
Angie Storozynski: Thank you. So I wanted to start with the -- you have more visibility on the use of full WRAMs, but you've been asking for rehearing of that decision removing the full WRAMs for you beyond 2024. So, I was just wondering how this request has been proceeding?
Bob Sprowls: Yes. With regard to the request for rehearing we have not heard back from the CPUC at this point on that. Hope I understood your question Agnie?
Angie Storozynski: Yes exactly. Yes. So, we're basically waiting for their decision. If they decide not to rehear it, should we expect that you will challenge this decision in courts?
Bob Sprowls: Yes. So that was something we and others have given a lot -- are giving a lot of thought to the -- unfortunately in California, the only option we have is to challenge it at the California Supreme Court level. And then of course, the Supreme Court will -- would need to be able to hear the case. They have to -- would have to choose to hear the case. So we're still kind of thinking through that. There's positives and potential negatives to doing that.
Angie Storozynski: Okay. Thank you. And then separately given yesterday's decision and that's the requirements to file your cost of capital application by early May and the fact that then your treasury yield is almost 100 bps lower now versus where it was when the current ROEs were set, could you maybe talk us through, your thought process or your expectations what those returns are going to be like now given that you already earned or your allowed ROE is already below average for water utilities across other states?
Bob Sprowls: Right. Yes, there's -- as you know, a lot that goes into the mix, when determining an appropriate cost of capital and specifically the authorized return on equity. Yes, I don't -- it's difficult to predict, how things are going to move forward there. The fact that California's ROEs are already low relative to the rest of the country, I think is -- would be an advantage to us going forward. There will also be comments about losing the WRAM and that creates perhaps some additional risk that we could make. And throughout the period where the application is filed and you go through the hearing process, we and others do keep a pretty close tab on where interest rates are and where they're headed. So, pretty difficult to speculate at this point, whether our ROE will be adjusted up or down or remain the same at this point.
Angie Storozynski: And just the last question on ASUS. So I appreciate your comments that you're hoping for additional contract awards. We were hoping to see some additional contracts awards -- contract awards in late 2020. They didn't happen. I understand that the change in administration doesn't help here. So, do you have any sense, when exactly roughly in which quarter, we should hear about more contracts?
Bob Sprowls: Hard to predict. I -- just to be myself, I would say, it's going to probably at least be the second quarter before we hear anything on the -- those bases where we've submitted a bid and it's gotten to the final bid process. I think, you hit the nail on the head with the change in administration always seems to delay things and it's very understandable. But that's -- yes, we're very patient in this business and you have to be. And we think, we've got good things ahead of us for that business. 
Angie Storozynski: Thank you.
Bob Sprowls: Thank you, Angie.
Operator: [Operator Instructions] And the next question will come from Jonathan Reeder of Wells Fargo. Please go ahead.
Jonathan Reeder: Hey, Bob and Eva, how are you all? 
Bob Sprowls: Okay, Jonathan.
Eva Tang: Doing well, Jonathan.
Jonathan Reeder: I apologize in advance for some background noise I have a little work being done at the house today. So it might be noisy. Hopefully, you can hear me, okay. Just kind of following up on that last question, how many bases Bob do you think could be awarded say in the next 12 months? Is it still -- I think like two to three is what you were kind of anticipating were in the final stage? 
Bob Sprowls: Yes. I would say you might think about two -- I mean that's how I think about it. There was one base in Hawaii that the government decided not to privatize ultimately. And that was sort of on the list of bases folks were bidding on. So that's why I would say two rather than three. 
Jonathan Reeder: Yes. And then what sort of total level of ASUS construction expenses are you anticipating for full year 2021? I know you were running in the $50 million to $55 million range before this bump up in 2020. But I did -- the $15 million award is a little lower than the $23 million to $24 million I think you've gotten in the past two years. So should we expect it kind of gets back down to that $50 million to $55 million range in 2021? 
Bob Sprowls: Well, we do expect to -- we think the $15.5 million was outlier. I mean it was -- we think it was a function of COVID-19 largely. And we do expect that number to improve in 2021. I don't know Eva you... 
Eva Tang : Yes. I think, Jonathan, it all depends on construction activity and what kind of work we do. If we can -- if we have as Bob said get more awarded on our new capital upgrade then I think we'll continue to incur construction expenses. So to us if the higher construction expenses may be implied for a higher revenue as well if everything goes well. So I wouldn't look at construction expenses as one of our benchmarks for your projections. 
Bob Sprowls: Jonathan, I will point out we have some new leadership at ASUS in the form of Stuart Harrison, who joined us in July of last year and he is someone that's had a real strong history working with the Department of Defense. And so our strategy on some of these things are changing a bit. We're trying some different angles to try to get more projects approved. How successful we will be on that in 2021 is a bit of a question mark at this point given the kind of the long runway it takes to go through the process with the federal government. So we're optimistic, but the new administration of course just getting people in the right chairs et cetera it takes time for the federal government. We understand that.  And then we'll see, but we are optimistic about 2021, although our -- the earnings contribution of $0.45 to $0.49 is pretty close to what we did in 2020. So we -- our company has always been one that doesn't want to get too far out in front of its skis on what it talks to the market about. So we're expecting a really good year in 2021. And -- but it is the -- I would say the landscape is probably more difficult to predict this year than it's probably been in the last few years because of new administration COVID-19 et cetera. 
Jonathan Reeder: Okay. So I mean when you say this is your guidance based on the COVID uncertainties like if things kind of clear up and maybe you are able to get some more of the construction work that's where we could see either something above the midpoint of that range or something like that for ASUS? That's where the uncertainties are not kind of on the expense side of the equation. It's more on the construction activity. 
Bob Sprowls: It is. 
Eva Tang : Yes. 
Bob Sprowls: Yes. That's a fair statement. If things clear up, we could be more on the higher end of that range than around the midpoint. 
Jonathan Reeder: Okay. And then, I haven't seen that the CPUC denied the extension, so sorry to hear that. Did they give any rationale as to why it was denied, or was it just pretty much -- pretty been only just no luck filed application?
Bob Sprowls: So, I'm just going to read to you the paragraph from the letter. It says, with the one-year extension that you've already received, it has been four years since your last cost of capital filings. During that period interest rates have fallen significantly, a development that should be reflected in your authorized cost of capital and the rates ultimately adopted in your general rate cases. That was -- it's a very short letter. That was the most important paragraph, the other paragraph talked about, denying the deferral.
Jonathan Reeder: Okay. So they do cite the fact that interest rates are lower now, okay. That's interesting. Had you -- in your attempts to get the extension did you have or engaged like the PAO and any sort of like potential settlement discussions, or did you kind of filed -- you filed they submitted their opposition. And you kind of -- it was left in the hands of the CPUC?
Bob Sprowls: Yeah. So it's kind of an industry effort. I mean, it was interesting public advocates their opposition to the deferral request was largely a function of gee you're getting money and rates to file this application. And therefore, you should. So it wasn't a very strong opposition. But I know other companies have done things in terms of working to try to meet with the PUC. I'm not sure if there was reaching out to the public advocates to get them to change their view. It is a little surprising, given that the commission can't seem to get anything done on time. And then, -- but you want to add one more thing to the plate. But I don't know.
Jonathan Reeder: Yeah. I just wasn't sure like, in the past on the electric side there was some precedent where they got together with the consumer advocate and proposed a two-year extension, but then it did include, like a little bit of a step-down in the ROE. I know you guys -- if the water is trying to broker any sort of deal like that. And just couldn't get there with the public advocates as opposed to going through the full process but it, sounds like, maybe not.
Bob Sprowls: Yeah. Historically we haven't -- we've kind of done things differently than the electric. Electric usually would try to get public advocates or turn -- involve in the initial request of the deferral. We in the water space haven't historically done that.
Jonathan Reeder: Okay. And then, Eva maybe this one is for you. What kind of consolidated tax rate do you expect in 2021? I think 2018 and 2019 were closer to 22%, before jumping up to like 24% this year.
Eva Tang: I think, we'll be -- probably go back to a lower effective tax rate. There are certain things impacted this year on the income tax rate. So if you look at not 2020, but 2019 and prior year it's probably a better benchmark for your projection.
Jonathan Reeder: Okay. And then, finally, the comment about not seeing the need to issue equity. What kind of period does that cover? Is that like a three-year forward outlook? Is it five years?
Eva Tang: It is three years, I would say, Jonathan.
Jonathan Reeder: Okay. Okay, great. All right. Thank you. That's all the questions I have. I appreciate you taken them and congrats on a good year and I hope it was a challenging year.
Bob Sprowls: Thanks, Jonathan.
Eva Tang: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Sprowls, for any closing remarks. 
Bob Sprowls: Yes. Thank you, Andrea. I just want to thank everyone for their participation today. And let them know, that we look forward to speaking with them next quarter. So thank you everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.